Operator: Welcome, ladies and gentlemen, to the Bird Construction First Quarter 2020 Financial Results Conference Call. We will begin with Teri McKibbon, President and Chief Executive Officer’s presentation, which will be followed by a question-and-answer session. [Operator Instructions] As remainder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] Before commencing with the conference call, the company would like to remind those participating that certain statements, which are made, express management’s expectations or estimates of future performance and thereby constitute forward-looking statements. Forward-looking statements are necessarily based on a number of estimates and assumptions that, while considered reasonable by management, are inherently subject to significant business, economic and competitive uncertainties and contingencies. In particular, management’s formal comments and responses to any questions may include forward-looking statements. Therefore, the company cautions today’s participants that such forward-looking statements involves known and unknown risks, uncertainties and other factors that may cause the actual financial results, performance or achievements of the company to be materially different from the company’s estimated future results, performance or achievements expressed or implied by these forward-looking statements. Forward-looking statements are not guarantees the future performance. The company expressly disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, events or otherwise. At this time, I would like to turn the conference over to Mr. Teri McKibbon, President and CEO of Bird Construction. Please go ahead.
Teri McKibbon: Hello and thank you for participating in Bird Construction’s first quarter 2020 earnings call. Co-presenting with me today is Wayne Gingrich, Bird’s CFO. We hope that all our employees and the investment community are staying safe and healthy during COVID-19 pandemic. On March 11, 2020, the World Health Organization declared a global pandemic due to the contagiousness of the no coronavirus and severe respiratory disease COVID-19, it could be developed after contracting the virus. The COVID-19 pandemic has added uncertainty to the industry as each provincial government has responded with different measures to address the public health threat. The duration of these matters is currently unknown and the corresponding impacts to our workforce and to our project sites are key variables that have uncertainty as a result. The first quarter financial performance of the company is generally not impacted by the pandemic, but the company has seen impacts in early April or in April and early May related to the temporary project shut downs and reduce productivity on project sites as a result of physical distancing and additional health and safety measures added to our normal protocols. The situation remains very fluid and the company is well positioned to respond to fluctuating scenarios in the near-term. Our highest priority is always to protect the health and safety of our employees. The company acted quickly to implement a pandemic response plan combined with a rigorous COVID-19 health and safety program, which meets or exceeds guidance from applicable public health authorities. The response plan, includes best practices for managers, self assessment tools, enhanced clean protocols and hygiene measures, physical distancing practices, new COVID-19 measure audits and a complete proximity activity management process, including additional personal protective equipment requirements, strategies to reduce concentration of site workers such as staggered start times, breaks and lunchtimes have also been implemented on construction sites. The company has also created online COVID-19 information centers for employees and managers to ensure all team members are kept informed as the situation evolves. Remote work practices facilitated by information technology have been implemented across all offices. The company continues to communicate on a regular basis with all employees and as highlighted, the additional support offered by the provider of the employee and family assistance program to support employees and their families during this time. The company was proactive in managing its cost structure and balance sheet by implementing precautionary measures to position itself in the event of a prolonged impact to the business by instituting a temporary reduction in salary in mid-April with the Board of Directors, executives, and non-project related employees. Where projects have been temporary slowed down or suspended by client or by a provincial government, the company has implemented temporary layoffs. Additionally, the company has also reduced discretionary spending and deferred capital expenditures where possible out of an abundance of caution. All these efforts contribute to strengthen financial position, should the pandemic run longer than expected or if a second wave of COVID-19 occurs. The executives and directors want to acknowledge the efforts and sacrifices that our employees have made to ensure that the company is operating safely and effectively delivering upon its project commitments through these unprecedented times. In the first quarter of 2020, the company continue to execute a more diverse work program and delivered significantly improved net income and adjusted EBITDA year-over-year. Adjusted EBITDA and adjusted EBITDA margin in the first quarter of 2020 were $7.6 million and 2.35% respectively. Adjusted EBITDA increased $10.7 million from the negative $3.1 million in the first quarter of 2019. Adjusted EBITDA margin increased 355 basis points from the negative 1.2% recorded in the first quarter of 2019. The year-over-year improvement was driven by an increase in gross profit due to the revenue mix and the impact of increased costs on a certain contractor incurred in 2019 that did not recur in 2020. We are pleased with the continued progress completing our challenging legacy programs and in the impact of our efforts to diversify revenue stream across the portfolio of both geographic and balanced risk profile. We continue to be encouraged by the growth of our pending backlog of which many are in a delivery model that supports a more traditional portfolio risk balance of Bird in our overall work program, and our earnings base has begun to reflect this. The COVID-19 pandemic did impact the timing of conversion of some of our pending backlog, pushing some expected awards after the first quarter of 2020. In 2020, the company secured $220.8 million of new contract awards and change orders and executed $321.6 million of construction revenues. The backlog of $1.43 billion for the company at March 31, 2020, increased 11.2% from the $1.28 billion in backlog a year ago. However, backlog decreased $121 million or 7.8% from the $1.55 billion of backlog recorded at December 31, 2019, as several awards expected in the first quarter of 2020 were delayed including the Eric Hamber Secondary School Replacement project. The company experienced two minor project cancellations in the quarter as a result of the COVID-19 pandemic, one from backlog and one from pending backlog. The board has declared an eligible dividend of $3.25 per common share for May, 2020 and it is meeting monthly through the COVID-19 crisis. We’ll communicate dividend declaration monthly on a go forward basis. Subject to the quarter end, the company announced the award of the Eric Hamber Secondary School Replacement Project in Vancouver, British Columbia for approximately $92 million under a design build contractor. Wayne will now walk us through the financial results for the quarter compared with prior year.
A - Wayne Gingrich: Thank you, Teri. Before I discuss the financial results, I’d like to take a moment to thank all employees, including those who are working remotely and help with our financial reporting process. The COVID-19 pandemic has changed the way we work and I appreciate the flexibility and continued dedication of our team to support and maintain the business through this crisis. During the first quarter of 2020, the company recorded net income of $1.1 million on construction revenue of $321.6 million compared with a net loss of $6.5 million on $261.8 million of construction revenue in 2019. The year-over‐year increase of revenue in the first quarter of 22.9% was driven by growth in the industrial work program, while the commercial and institutional work program was effectively flat. The year‐over‐year increase in first quarter net income is reflective of the improvement in revenue and earnings attributable to the mix of higher margin industrial work program. The company’s 2020 first quarter gross profit of $16.9 million was $10.6 million or 167.8% higher than the $6.3 million recorded a year ago. The increase in the amount of gross profit is driven by the higher quarterly construction revenues year-over-year. In addition, the increase in gross profit is due to a higher-margin work program as revenue contribution shifted from predominantly institutional and commercial projects to a more balanced work program including industrial. The first quarter of 2019 was also negatively impacted by a PPP project that had incurred additional cost due to design related scope growth and acceleration expenses. There were substantial changes to the scope of the project requested by the client that are still in commercial negotiation. This PPP project achieved substantial performance in the first quarter of 2020. Gross profit percentage in the first quarter of 2020 was 5.3% and 2.9% higher than the gross profit percentage of 2.4% recorded a year ago for the same reasons as gross profit. Income from equity accounted investments in the first quarter of 2020 was $1.7 million, compared with $0.7 million in same period of 2019. Included in the first quarter of 2020 was a net gain on sale of one of the company’s investments in equity accounted entities held for sale of $400,000 million. The remainder of the increase in income was primarily driven by the margin earned from an equity accounted investment based in Eastern Canada. In the first quarter of 2020, general and administrative expenses of $14.8 million or 4.6% of revenue were slightly lower than the $15.0 million or 5.7% of revenue in the corresponding period a year ago. During the first quarter, the company had lower compensation expense of $0.4 million, third-party pursuit costs were $0.3 million lower, and $0.1 million higher foreign exchange gains than the amounts recorded a year ago. Partially offsetting these reductions in expenses were $0.6 million higher professional fees relating to information technology and consulting fees than the amounts recorded in 2019. Finance income was $0.8 million in the first quarter of 2020 is comparable to the $0.6 million recorded in the same period of 2019 due to higher cash balances being carried during the quarter compared to the prior year. Finance and other costs of $3.1 million were $1.6 million higher than the $1.5 million reported in the first quarter of 2019. The increase was due to $0.8 million higher interest expense on non-recourse project financing and $0.5 million higher losses on interest rate swaps. There was also a $0.4 million increase in interest expense on loans and borrowings. In the first quarter of 2020, income tax expense was $0.4 million, compared to income tax recovery of $2.4 million recorded in the first quarter of 2019. The effective tax rate of 27.1% in 2020 is comparable to the 27% in 2019. I will now turn the call back over to Teri to comment on the future operating performance for the company.
Teri McKibbon: Thank you, Wayne. The trend for the company over the past several years towards a growing proportion of industrial project revenues is expected to continue throughout 2020. Diversification into the LNG, nuclear, public transit, modular and environmental sectors will balance the risk profile and help stabilize earnings. In the third quarter of 2020, the company expects to sell two equity investments in PPP projects. This is consistent with the company’s strategy to not hold these investments for the entire duration of the concession agreement. At March 31, 2020, the company was carrying a backlog of $1,426.6 million, which is 11.2% higher than that recorded a year ago. The company expects to recognize 66% of the remaining performance obligations over the next 12 months. This estimate reflects any short-term impact on financial results from projects that have been put on hold by clients as a result of the pandemic. This expectation is based on management’s best estimate but contains uncertainty as it is subject to factors outside of management’s control. The embedded margin in backlog improved throughout 2019, and improved year-over-year in the first quarter of 2020. Backlog is more diversified than in prior years across a broad range of markets and contracting methods with a more balanced risk profile. This can be seen in the disaggregation of the revenue in the company’s 2020 first quarter financial statements whereby revenue earned in higher risk contract categories such as PPP, Alternative Finance and Complex Design Build projects comprised 16.1% of total revenue in the first quarter of 2020 compared to 26.1% in the same time period in 2019. The proportion of revenue earned from higher risk contract types is expected to remain lower throughout 2020 when compared year-over-year. The company has minimal direct exposure to projects in the oil sector in its backlog. In addition, the company has $625 million of pending backlog as of the end of the first quarter of 2020. The projects are geographically diverse and span multiple sectors. This includes the addition of the Eric Hamber Secondary School Replacement Project in Vancouver, B.C. for approximately $92 million, under a design-build contract. Subsequent to the end of the first quarter, the project was contracted and recorded into backlog. Projecting the timing of converting the rest of these projects into contracts has become more difficult in current market conditions as a result of the pandemic and several have shifted beyond the second quarter into the second half of 2020, which will impact revenue this year. The project pursuit pipeline remains healthy and falls within our targeted range of risk tolerance. The company continues to be selective on prospective pursuits, ensuring our clients expectation are an appropriate match for our capacity within our overall work program. Project cancellations in the pursuit pipeline have been minimal to date, however the company is seeing projects in the pursuit phase shift further out which will have a modest impact on the second half of 2020. At this point, the company does not expect this shift in timing of pursuits to impact 2021. In the near term, opportunities will primarily consist of smaller environmental projects, mid-sized social infrastructure projects and a range of projects in the LNG sector and mining sectors. The award of any of these project opportunities will benefit the second half of 2020 and beyond. Recognizing that the longer the COVID-19 pandemic circumstances persist the higher the risk to the company’s underlying assumptions, the company maintains an optimistic outlook considering the impacts to date and the positive indications for gradual reopening of the provincial economies in the near term. The company has experienced impacts of the pandemic in April related to temporary project shutdowns and reduced productivity on project sites as a result of physical distancing and additional health and safety measures added to our normal protocols. As May evolve, our operational workforce have become accustomed to the new operational landscape and productivity levels are returning to normal. The company expects to benefit in 2020 from having a healthy backlog with higher margins than a year ago and more balance in terms of the contractual risk profile of the work program, notwithstanding expectations that revenues will be lower year-over-year as a result of the pandemic. When the company’s work program fully mobilizes, there will be a period of time in which the company will experience growth in non-cash working capital as the business ramps back up, until a steady state of operations is achieved. So this concludes the prepared remarks section of the conference call. I’ll now turn the call over to the conference call operator who will take your questions in turn.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Yuri Lynk of Canaccord. Please go ahead.
Yuri Lynk: Good morning, guys. I’m just wondering how the quarter turned out vis-a-vis your initial expectations because it looks like a pretty good quarter from our vantage point.
Wayne Gingrich: Yes. I think generally year as expected. Certainly, we put a lot of focus into our business or forecast of budgets and generally, as expected for the business.
Yuri Lynk: Okay. I’m trying to get, obviously trying to get handles on the degree to which revenues might be down this year. The MD&A implies about an 8% reduction in the revenue that you expect to burn from backlog over the next 12 months, compared to what you had in the Q4? Is that kind of ballpark the revenue decline you’re expecting or can you give us any additional color on how to think about that?
Teri McKibbon: We haven’t disclosed obviously what we expect our revenue to be for the year. But suffice to say, we expect Q2 will be significantly down from a year ago. We are seeing some of our project sites return that to work. We’re seeing some ramp up on other sites where they had kind of previously ramp down through April. But Q2 is certainly going to be impacted. Some of the new project awards that we’re in are pending backlog that coming into the year, we thought we’re going to convert to awards and kind of Q1 or Q2 are starting to push to the right and that is going to have a negative impact on Q3 and Q4. But if you think back to our Q4 disclosure, we had said that, 66% of our backlog would come into revenue in the next 12 months. So 66% of that would come into 2020. At the end of a Q1, again, the number is still 66%, but it’s on next 12 months, but it’s on a $1.4 billion backlog. So that’s coming down as well. So we haven’t pegged a revenue number, but I don’t think a 8% reduction that you’re putting out there is far off from a total year perspective.
Yuri Lynk: Last one for me and I’ll turn it over. Teri, do you have any concerns about being on the hook in any way for the additional cost that you’re experiencing on probably almost all your job sites associated with – dealing with COVID-19?
Teri McKibbon: Not generally a year or obviously our contracts, we do have varying degree of – types of contracts with varying degrees of contractual coverage. Obviously, our subcontractors are back to back on those – you always have the risk of challenges of trades, weathering this type of environment. You never, you do your best to have security on the larger ones, but there’s always a bit of that risk. But generally same speaking, it’s not something that we’re worried about based on what we’re seeing today. And I think that generally relates to the fact that the industry really kept going. And it’s obviously humbling to see how the construction industry has this performed through a very uncertain time. We were – we had some – certainly some contracts that were paused and legislated to pause, but overall, it is really is impressive to see our industry not just within Bird’s business, but generally across the industry, continue the way it has and we have not had an a worker on a site at Bird diagnosed with COVID-19. We’ve had certainly symptoms and we’ve ran through extensive testing on. But across our whole suite of businesses across the country, we’ve not had a positive test. So I think that’s a testament to the efforts that we’re making on hygiene and protocols, safe distancing, things like that. So really is impressive to see. And obviously, a second wave can occur, but we feel that we’ve gone through this first wave and can certainly handle another wave as well.
Yuri Lynk: Okay. I appreciate the color. Thanks.
Operator: Our next question comes from Frederic Bastien of Raymond James. Please go ahead.
Frederic Bastien: Good morning guys. I’m hoping to get your thoughts on how the second quarter is shaping up right now, relative perhaps how you felt it might be maybe six weeks from now – six weeks ago.
Teri McKibbon: I would say, early too, we’re seeing signs of certainly clients restarting projects that were paused. It’s still early days, Fred. But we’re seeing – we had certainly some absenteeism in the early part of April. Productivity, everyone getting used to the new normal, but we’re seeing, I would say, in most markets some strength and I would say, we’re more optimistic about the back half of the second quarter than we would have been six weeks ago. But again, it’s – well, it is a higher level of confidence just because we’re getting adjusted to this framework that we’ve worked in. And our clients are starting to get mobilized. So we’re feeling better than we did six weeks ago, for sure.
Frederic Bastien: Okay. Thanks for that. Can you also provide an update on LNG Canada? I understand you have three projects, three contracts with – on this particular site. Give us an update, please?
Teri McKibbon: Yes. So same sort of thoughts there. Early days, early April, certainly, significant reduction in scale, but that is returning to anticipated levels sort of as we speak. And they – the team there and our clients done a phenomenal job with protocols and the parameters of managing the workforce just they’ve done some really impressive things and to this point, you don’t no positive tests within a employee from certainly within our landscape. And I don’t think there’s been one on the site but within our landscape that we have find a site to it’s been really impressive, so returning to our anticipated levels sort of as we speak.
Frederic Bastien: Okay. Awesome. Last one for me, probably for Wayne. In respect to the two investments that you plan to sell shortly, are you expecting similar types of gains to the ones that you enjoyed in Q1?
Wayne Gingrich: I think the gain on the project that we’d be selling for is larger than that gain that – it’s kind of an opportunistic item that came up in Q1. So we did monetize that asset. The two that all occur in Q3 and I think the gains will be slightly larger than in what we thought in the first one.
Frederic Bastien: Awesome. Thanks guys.
Operator: Our next question comes from Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Thanks. Good morning. Teri, you provided a bit of an update there on LNG Canada. So clearly sounds like that was one of the projects where you did experience some impacts from COVID-19. I’m just wondering, what were the impacts that you did see from COVID-19 across other parts of the business? Was it pretty general and fairly widespread? Or was it fairly concentrated to a handful of other projects?
Teri McKibbon: Fairly concentrated to a handful of other projects in provinces where the government’s put – really put restrictions in place such as Ontario. We had some impacts in Atlantic Canada on some of our educational work. But it was purely, government legislation that affected that. We have activity in Northern Quebec with our mining business with our [indiscernible]. So that was also affected with Quebec’s legislation they put in place. And I’d say that, the economic demand inventory levels, things like that on the iron ore side. We’ll certainly delay further demand in that business in the second quarter and expect that’ll be third quarter, fourth quarter. But it’s seasonal anyway. And we’ve anticipated that and it’s certainly it doesn’t have a major impact on our business per se. It’s much smaller.
Michael Tupholme: Okay. And so it sounds like things are generally starting to normalize in terms of activity levels and ramping back up. So the second half of the year, to the extent that revenues are softer than you had originally expected, is that primarily a function of the – some of the awards that you thought had, would come through in the first half, may not be at the level that focus you may want to be?
Teri McKibbon: Yes, coupled with the softer second quarter revenue from some of the delays or some of the restrictions.
Michael Tupholme: Right. Okay, and then just in terms of your earnings outlook commentary, it reads consistent with the way it read in Q4 and that you do talk about continuing to expect earnings to be higher than in recent years. Not to try to pin you down to an exact number, and I’m sure, you won’t provide that. But when you talk about higher than the last recent years there’s quite a divergence depending on how far you go back. So if you look at 2018, there was actually a small loss and then in 2019, you were in $0.22. So just trying to get some sense, when you talk about recent years, I mean, should we be focused on more on 2019 or kind of how far back are we looking there?
Teri McKibbon: Yes. Obviously, our commentary relates to 2019. But although we anticipate that it’ll be lower than expected our commentary is holes that we expect that accretive performance from 2019. And we have a level of confidence of that based on the backlog and the embedded margin in that backlog and the performance that we’ve had to date.
Michael Tupholme: Okay. That’s helpful. Thank you. And then just in terms of some of the projects being pushed to the right and that were in the pursuit phase. Is that in any particular end markets or sectors, or is it more broad? Just any color around where you’re seeing what areas of those projects are going to be helpful?
Teri McKibbon: Yes. It’s somewhat broad, but I would say more focused on private, commercial institutional work and the mining side, where things are getting pushed through. Generally, our industrial program hasn’t seen that to an extent other than active work. That’s been underway. We’re not seeing that as much on anything that’s in the industrial program. So it’s more a commercial institutional side in the private sector, either private investment side of that is where it’s get pushed a bit.
Michael Tupholme: Okay. And then just lastly in terms of your – you made some commentary around 2021, and at this point, not expecting a shift in a tiny pursuits, the impact of 2021. Just wondering what is the – what gives you the confidence to say that, is that a function of the fact that you’re now seeing activity ramped back up on some of your existing projects and maybe pursuits, even though they’ve been pushed they are. You still do expect awards in the second half. Just trying to get a sense for sort of at this point of uncertainty, how you can say it?
Teri McKibbon: So first and foremost, it’s the anchor projects that we have in our backlog. Projects that are, if all things such as you know, Canadian Nuclear Labs up in Chalk River, as an example. Confederation Line extension in Ottawa is another example. LNG, we’re still in the early, largely new early phase of procurement of LNG. And so that’s significant growth opportunities in all of those projects. So really the confidence comes from the position we have, the strength of that backlog. And just I’d say dialogue that we’ve had with some of our commercial institutional clients that are starting to reengage now and reset, whether that’s some of the larger pension funds that we work for. They hit the pause button for the month of April, we’re starting to engage with those and move those towards fully contracted. So we’re – and we have – I think the more important piece is, we have a very clear line of sight to the risk of our backlog and the predictability of that. So we’re in a good spot, and if we can continue to evolve like we have through this – getting through this month of April and starting to see more normal evolution of the business. I think, we’ve got exciting things ahead of us in the balance of the year and well into 2021 and beyond.
Michael Tupholme: Okay. Thank you. That’s great.
Operator: Our next question comes from Maxim Sytchev of National Bank Financial. Please go ahead.
Maxim Sytchev: Hi. Good morning, gentlemen.
Teri McKibbon: Hi, Max.
Wayne Gingrich: Good morning, Max.
Maxim Sytchev: Just wanted to circle back quickly on Q2. I mean, given the fact that revenues obviously being impacted by some of these dislocations. What you are doing on the cost side, I mean, should we still expect a positive EBITDA for Q2? Or this is still kind of to answer the call or make a commentary on that?
Teri McKibbon: At this point we expect positive EBITDA in Q2.
Maxim Sytchev: Okay. And I guess, so Teri, that that really comes from the cost side or like, I mean, what are the leavers there?
Teri McKibbon: I think combinations. I think it’s a combination of both Max. But I think obviously that Q2 had been impacted. But I think it’s a combination of the margin profile of the projects that are underway and we’ve been really aggressive on the cost side.
Maxim Sytchev: Okay. That’s very helpful. Thank you. And then I was wondering if you don’t mind me revisiting kind of the addressable market opportunity on LNG Canada, as you said, you were very early in terms of that site development, speaking with sort of the main EPCs and the proponents. Is there any change in terms of your ability to drive incremental revenue from that side?
Teri McKibbon: No, it’s – we’re continuing to evolve on that site. We’ve performed extremely well, very proud of the performance of the team. From a safety perspective, obviously dealing with the pandemic, from a schedule perspective, we performed extremely well. And anytime you’re underneath these large global EPCs and you’re performing well, you certainly get a lot of opportunities that evolve. As you know, we’ve been very focused on that workforce accommodation. We’ve secured non-process facilities for the project. We’ve secured some of the larger earth grading. So you can sort of follow along as you see the project evolve in all the different components on something of this scale. And we’ve had good success securing each phase, obviously the trains have fabrication in Asia, components of that. There’ll be a lot of interconnect work things like that that’ll provide opportunities. There are lots of ancillary facilities that are still evolving. Obviously all of the foundational work concrete, all those, things are in procurement as we speak. So yes, we’re excited and just couldn’t be happier with the performance of the team there. There’s obviously potential for Phase 2 of the project. We don’t have any color on that today. But that’s future opportunity potentially as they consider that at some point in the future. But yes, it’s been a nice replacement for our historical oil sins opportunities. And the team that we’ve got there, obviously have extensive experience, in oil sense, in a major way with a major scale and we’ve been able to obviously take that entire team and build upon that team. And yes, we were pleased to see this group deliver something at this scale, at this complexity. What I would call a pretty remote location agreement.
Maxim Sytchev: Yes, know for sure. Thanks for the color. Do you mind maybe commenting if it’s possible on the kind of the payment terms or maybe on LNG Canada specifically? I don’t know if you want to address this. Or just in general, if you have seen any slippage from any clients on accounts receivables and things like that? Or it’s still kind of as usual.
Teri McKibbon: So, no, clearly we’ve been at LNG Canada now for some time. They’ve been excellent. Everything is on time. So no issues there whatsoever. Balance of clients, obviously where you’re in an economic landscape like this, you do have to put considerably more attention to receivables and whatnot. Today we haven’t been impacted by anyone out of the ordinary. We have certain clients that are just generally slow and they continue to be. But no change, I guess Max to this point. And we put appropriate measures in place to protect our performance, whether that’s surety from larger performers. So we’ve got the protection of the subcontract side. But our clients have been good. We haven’t seen – but it is worrisome for sure.
Maxim Sytchev: Yes. And actually, as you touched on a good point around the subs. Did you feel comfortable in terms of kind of that other side of the supply chain being relatively intact and available in terms of to be able to do the work that this company, I mean, obviously on a smaller scale that they’re not being impacted too much, where you have to start worrying about them being able to carry outside of the contracts.
Teri McKibbon: So couple of things. We put higher standards of performance expectations in place in terms of surety on anything new on. On existing, I think if we would have had a longer impact, two, three months, getting into that third month, I think it would have been more worrisome than it is today. But in the fact that we’ve been largely able to continue, a lot of our subcontractors have been able to continue. So I think, at this point, we’re not anticipating that there’ll be challenges. But there’s always going to be a subcontractor out there that was in trouble in the first place and can’t handle that month that they’ve been impacted. There’s always going to be that dynamic. But we are typically well covered with performance – performance surety.
Maxim Sytchev: Okay. No, that’s helpful. And then I’m just wondering, in terms of your concessions monetization. I’m assuming in the past you have publicly stated in terms of – kind of a potential expectation. I mean, is this tens of millions and millions, just so that we can anchor kind of the expectations around the cash injections to the balance sheet in Q3.
Teri McKibbon: If you are asking the sale of the two assets. So in Q1, I think our inflow was $5.4 million, so in Q2 the inflow would be higher than that, but less than $10 million.
Maxim Sytchev: Okay. No, that’s helpful. And then just maybe a last step, sort of bigger picture question if it’s possible for Teri. I mean, as we’re thinking, obviously there’s a lot of discussion around infrastructure spending and things like that. In general to stimulate the economy, I’m just wondering if you have any kind of early indications from conversations with the governments what you guys are hearing on the ground in terms of the potential spending in late 2020 and maybe 2021.
Teri McKibbon: So I think a little early in terms of the quantum, but we’re certainly seeing activity getting organized in various governments in its flea and provincially for simulated programs. The interest levels for Bird are probably highest in the social infrastructure side, educational facilities. We saw that in 2008, we’ve experienced that more recently with the SIP program in Canada from the federal government. The other area that’s we’ve grown considerably in is on the environmental side and we expect to see environmental projects get stimulus investment a lot of municipalities and provinces in Canada and got to do considerable upgrades to the existing. And that’s working get underway, fairly quickly. And you may have caught yesterday a pretty large bill in the U.S. designed around stimulus on water, wastewater investment, pretty significant federal U.S. We’re not in the U.S. in that sector. But you can see that some of the early stuff the U.S. is getting to market. I’m quite confident that Canada will do the same.
Maxim Sytchev: All right. And is there anything on the healthcare side where you see potential opportunity or right now it just really kind of on the OpEx or CapEx side?
Teri McKibbon: Yes. I would bundle that underneath the social infrastructure side. Some of the larger healthcare stuff is longer in duration because it’s B3 typically are depending on the province and agency, but the larger programs. But yes, the small and midsize opportunities that are there. We have one that’s in procurement right now in Atlanta Canada in the second quarter. So it’s continuing forward, a nice fit for us. But we’ll see. So there’s still – and those were not COVID-related, but they haven’t interrupted the procurement. They’ve continued forward with it. So that’s a government driven initiative. So we’ll see where the dust settles on that. But yes, it’s still a space. I’d say the educational mix with university investment high school, elementary across the country. This was certainly those projects I would expect closer to being shovel-ready. And in the environmental side it would be closer to being shovel-ready, waiting for funding. So those are the two areas that I’m most interested in. We’re not to any extent in the horizontal landscape in terms of road building, that kind of thing, in a minor way we are, but not to take advantage of that. And the larger LRT type work I think is just a longer duration, typically P3 delivery takes longer.
Maxim Sytchev: Okay. That’s great. Thank you so much.
Teri McKibbon: Thanks Max.
Operator: Our next question is a follow-up from Michael Tupholme of TD Securities. Please go ahead.
Michael Tupholme: Yes, thanks. Just two follow-ups. Firstly, Teri, just with respect to the two minor project cancellations you mentioned. How do you see or how would you assess your level of concern around the potential for any future cancellations?
Teri McKibbon: I was pretty low, Michael. These occurred early on. So anything that – we certainly don’t have any line of sight anything else that’s evolving, anything it’s things that are – that had some delay that you’d expect might get canceled or restarting. So I’d say, lower – it’s not a worry right now.
Michael Tupholme: Okay. And then a question for Wayne. There’s a comment in the MD&A regarding working capital investment as the business ramps backup. So just wondering how your expectations for work – changes in our working capital for the year have changed, I guess both, on a full year basis and then just the cadence through the year. If you could comment on that, that’d be helpful.
Teri McKibbon: Yes, really what they comment is intended to say is that, total working capital necessarily won’t be impacted by this. But as we start to see the work program ramp up, again, hopefully in June and July timeframe, that’s going to require investment in cash into non-cash working capital. And then that’ll start to release again in late September, early October. So it’s kind of a timing issue that we just wanted to highlight there.
Michael Tupholme: Okay. Thanks for that.
Operator: There are no further questions at this time. I would now like to hand the call back over to Mr. McKibbon for closing remarks.
Teri McKibbon: So I want to thank all of our employees for the resilience and for the sacrifices they’ve made to ensure the company remains healthy in our 100th year of operation. Our field staff deserve a special recognition for having continued to work on our projects with utmost professionalism and dedication, while quickly embracing new safety practices and procedures. Our primary concern is always the health and safety of our employees. We hope our strong safety culture also permeates into the daily lives of our employees and serves to help protect their families and communities in which we live and work. The first quarter of 2020 represents the sixth sequential quarter where a 12 month trailing adjusted EBITDA margin has improved. While it’s difficult to estimate the impacts of the pandemic on our company at this time, discipline and focus of the team over the past several years on reducing the risk profile and increasing the diversification of the work program will help the company emerge from this crisis with a healthy backlog and maintain this strong balance sheet. We have sufficient cash and liquidity to support our anticipated work program, while maintaining the current dividends based on our current expectations of the impact of COVID-19. Despite those impacts, we will still expect 2020 to be more profitable than recent years. We look forward to properly celebrating the century mark for our company with our clients, shareholders, and employees later this year. Thank you for participating in Bird Construction’s first quarter 2020 conference call. As always, Wayne and I are available if additional information is required, so please do not hesitate to get in touch with us. Have a nice day and stay safe.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.